Operator: Good day, ladies and gentlemen, and thank you for standing by. Welcome to the PLx Pharma Third Quarter 2021 Earnings Call. At this time, all participants are in a listen-only mode. After the speaker’s presentation, there will be a question-and-answer session.  Please be advised that today’s conference is being recorded.  I would now like to hand the conference over to your speaker, Lisa Wilson with Investor Relations. Please go ahead.
Lisa Wilson: Thank you, Carmen. Welcome to PLx Pharma’s Q3 2021 earnings results call. This is Lisa Wilson, Investor Relations for PLx. With me on today’s call are Natasha Giordano, President and Chief Executive Officer; and Rita O’Connor, Chief Financial Officer of PLx. You can also access the webcast of this call through the Investors section of the PLx website at plxpharma.com. Before we get started, I would like to remind everyone that any statements made on today’s conference call that express a belief, expectation, projection, forecast, anticipation or intent regarding future events and the company’s future performance may be considered forward-looking statements as defined by the Private Securities Litigation Reform Act. These forward-looking statements are based on information available to PLx Pharma’s management as of today and involve risks and uncertainties, including those noted in our press release issued this morning and our filings with the SEC. Such forward-looking statements are not guarantees of future performance. Actual results may differ materially from those projected in the forward-looking statements. PLx specifically disclaims any intent or obligation to update these forward-looking statements, except as required by law. The archived webcast will be available for 30 days on our website, plxpharma.com. For the benefit of those who maybe listening to the replay or archived webcast, this call was held and recorded on November 12, 2021. Since then, PLx may have made announcements related to the topics discussed, so please reference the company’s most recent press releases and SEC filings. And with that, I will turn the call over to PLx’s CEO, Natasha Giordano.
Natasha Giordano: Thank you, Lisa. Good morning, everyone, and thank you for joining us today. We are incredibly proud to successfully completed the initial phase of the VAZALORE launch achieving wide trade adoption and placement of VAZALORE on shelves in more than 30,000 stores nationwide, as well as product availability on major ecommerce sites.  This level of extensive distribution is simply outstanding even in the phase of global supply chain challenges and labor shortages in the market, our seasoned management team was able to successfully bring VAZALORE to market and make it available to consumers wherever, whenever, and however they shop. This has been an important part of our strategy as consumers’ shopping behavior has changed since COVID.  Online shopping has remained strong supported by convenient retail services such as buy online and pickup in store and curbside pickup. Consumers have also been consolidating shopping making less frequent purchases, but stocking up and purchasing larger baskets in store. By design, our prominently placed product displays are grabbing the attention of the consumer well in the store.  This further highlights the importance of our retail partnerships to promote VAZALORE. Digital sales are expanding as many ecommerce sites have pivoted from being simply a search engine to a marketplace retail sales platform. Our VAZALORE enhanced content is available on major ecommerce sites.  Before I provide further information on market feedback and the next phase of the VAZALORE launch, I will first turn the call over to our CFO and Head of Manufacturing and Supply Chain, Rita O’Connor, who will share our third quarter results, including key drivers of our sales performance. Rita? 
Rita O’Connor : Thank you, Natasha, and good morning, everyone. Today, I will provide some perspective on our third quarter results including key drivers of our performance. To begin, we recorded our first-ever sales of VAZALORE in the third quarter, reflecting initial stock orders of the product across top-tier U.S. drug, food, and mass retail channels. Our Phase 1 commercial plan for VAZALORE is well underway.  We are so proud of the team’s execution in achieving such extensive product distribution including more than 30,000 U.S. retail stores and ecommerce sites. Many retailers are stocking all three SKUs, two SKUs of the 81 milligram dose and one SKU of the 325 milligram dose, as well as prominently placed in displays elsewhere in the store.  On its own, this level of trade distribution and support is impressive, but given the ongoing global supply chain and labor challenges and shifts in consumer shopping behavior, this is an important early success factor for us and a testament to the resilience and determination of our seasoned management team.  As a reminder, we account for revenue in accordance with ASC606, which basically means that we will recognize revenue when product is received by the retailer. We will also record reductions to gross revenue including provisions for retailer promotional programs, product returns, prompt pay discounts and coupon redemptions by consumers.  Total net sales in the third quarter were $6.6 million, reflecting those initial product shipments to retailers netted by the various allowances I just mentioned. Net sales were led by VAZALORE 81 milligram dose, both the 30 and 12 count SKUs, which represent nearly two-thirds of the total net sales in the quarter. Early data at retail shows consumption is building with the weekly performance growing double-digits the past few weeks for both 81 milligram and 325 milligram doses.  As we completed the initial distribution phase of our VAZALORE Once plan, we are now moving into Phase 2, which focuses on plans, sales acceleration activities in the fourth quarter and into 2022. Natasha will elaborate on these activities in a moment.  As typical with our previous experience with mega brand launches, we expect our trade partners to work down their initial stock inventory of VAZALORE by year end, driven by growing consumer demand and several planned promotional activities over the next several weeks.  Then typically up to the holiday rush, retails begin to meaningfully reorder products early in 2022 as they shift focus in the New Year to in-store promotional activities, centered around Heart Health Month in February.  Moving to cost of sales and gross margins, as we have said previously, our cost of sales include actual costs paid to our contract manufacturing packagers, cost associated with inbound, outbound shipment, order processing, plus handling and storage fees at our distribution center in the Midwest. Royalty payments to University of Texas are also in cost of sales.  This resulted in a gross margin of 41% for the third quarter. Currently, the product margin of the 325 milligram dose is lower than the 81 milligram dose, because of the consistent proportionately higher raw materials and smaller batch sizes, although they both have the same list price as the 81 milligram, 30 count bottles.  We see an opportunity to improve our blended product margin when we expand our manufacturing capacity to provide much larger batch sizes, particularly for 325 milligram with expected completion in late 2022. We also expect that the product launch accelerates that consumers will trade up to the larger 81 milligram 30 count size from the lower margin 12 count trial pack.  Moving on to operating expenses. Our third quarter research and development expenses increased 29% to $1.6 million, reflecting pre-commercial manufacturing-related activities for VAZALORE. Both periods also include spending for VAZALORE clinical trials, 2021 spending was on the 81 milligram clinical trial, which Natasha will discuss in further detail and 2020 included 325 milligram bioequivalent study.  Our R&D expense for the remainder of 2021 and 2022 will continue to include investments and feasibility work to support expanding manufacturing capacity, as well as further development of products using our patent protected, PLxGuard technology.  Selling, marketing and administrative expenses in the quarter totaled approximately $11 million compared to $2 million in the prior year period, primarily due to extensive VAZALORE launch activities underway. Our cardiovascular specialty field force was deployed in July. This fully integrated team is focused on building awareness and driving VAZALORE adoption nationwide.  In the end of August, we launched our first national media television campaign to generate awareness of VAZALORE among healthcare professionals and consumers, drive trials and motivate consumers to ask for doctors about VAZALORE. The success of this campaign means that our message is resonating and driving base awareness among our target audience.  Early feedback from consumers and healthcare professionals is very positive. Through the end of October, our TV campaign has delivered more than a 175 million impressions reaching 65% of our target audience or nearly 10 million consumers with high frequency. Our TV campaign will continue throughout the fourth quarter, with the goal of reaching nearly 90% of our target consumer by the end of the year.  Feedback from our field force indicates our commercials are driving patients to ask for doctor about the new form of Aspirin they saw advertisement in TV. And, as expected, TV advertising is also having a halo effect and strong impact in driving traffic to VAZALORE website with the buy now click ratio is very high.  In all, we expect total operating expenses in the fourth quarter of 2021 to be between $20 million and $23 million for the quarter as we roll out the next phase of the VAZALORE launch plan.  On a GAAP basis, we reported net loss of $21.6 million or $0.80 per basic and diluted share in the third quarter, compared to a net loss of $3.6 million or $0.40 per basic and diluted share in the prior year period. Our GAAP reported net loss includes a non-cash loss of $11.8 million or $0.43 per share related to the change in the fair value of our warrant liability due to the fluctuation in the company’s stock price.  On an adjusted non-GAAP basis, our net loss per basic and diluted share was $0.37, compared to adjusted non-GAAP net loss of $0.36 per share in the prior year period. You may have noticed that we added a REG-G table in our financial statements to reconcile the GAAP EPS to an adjusted non-GAAP number.  This addition was to provide investors and analysts with useful measures of operating results unaffected by the impact of the volatility of the non-cash change and fair value of the warrant liability, preferred stock dividends and beneficial conversion feature.  Adjusted non-GAAP net loss and adjusted non-GAAP net loss per share should be considered in addition to, but not in lieu of net loss or net loss per share reported under GAAP.  Turning now to some balance sheet items. We ended the quarter with a sequentially higher cash balance of $82.6 million, compared to $80 million as of June 30, primarily due to net proceeds of $7.7 million from the issuance of our common stock under our equity distribution agreement or ATM and cash received from warrant exercises of $3.8 million, coupled with cash receipts of $3.3 million in the initial sales of VAZALORE and we continue to have no debt on our balance sheet.  In summary, our third quarter performance demonstrates our agility and focused execution of the initial phase of VAZALORE launch plans. Our team is on track and poised into the next phase of our launch and drives further brand awareness and market penetration.  With that, I will turn the call back over to Natasha. Natasha? 
Natasha Giordano: Thank you, Rita. We continued to receive overwhelming positive feedbacks from consumers as evidenced by increasing consumer purchases week-over-week for both 81 milligrams and 325 milligrams, as well as by some online reviews. To highlight a few of these reviews that we’ve seen, this invention is long overdue.  I highly recommend it. So far the best low dose aspirin on the market. Easy to swallow and provides best relief for my minor arthritis pain.  We are also experiencing a high degree of interest from the healthcare professional regarding a new formulation in the aspirin category with bioequivalents to immediate release aspirin. Physicians have made reference to patients or even themselves that cannot tolerate aspirin and that they are interested in hearing about a new form of aspirin. They also released that VAZALORE is available over -the-counter thus avoiding the managed care process. Professionals are also pleased that the capsules are easy to swallow for their patients who often have issues swallowing pills. We’ve already seen that the TV commercial is reaching not only consumers, but also encouraging physicians to ask for more information about this new, innovative aspirin therapy.  Our cardiovascular field force is building awareness by gaining access to our targeted healthcare professionals in larger group practices, affiliated with the top-100 heart and stroke hospitals in the country.  The majority of the calls are being made in person averaging eight calls per day. In fact, in their short duration of being in the field, they’ve already reached 83% of the top targeted HCPs and they have expressed a very positive response to VAZALORE.  In the second phase of our launch strategy, we intend to expand the reach of targeted cardiologists to include their referral network, accessing them in alternative sites of care and continuing to distribute samples and coupons to all appropriate aspirin therapy patients.  We are also excited to see that VAZALORE is now listed on Electronic Medical Record, EMR platforms to help facilitate the process for HCPs to recommend VAZALORE for their secondary prevention patients, along with their other prescribed medications.  We continue our commitments to advancing the science surrounding aspirin therapy in partnership with our stained scientific advisory board and further expanding our medical communication through publications, medical conferences, continuing medical education and promotional events.  We’ve implemented a broad and deep outreach campaign for healthcare professionals including retail and hospital-based pharmacists with email alerts and education kits with information and coupon incentives.  Our publication plan includes our recently conducted study led by doctors Franke, and Angiolillo from the University of Florida, which was a randomized, open-label, crossover pharmacokinetic and pharmacodynamic study.  The preliminary results showed VAZALORE 81 milligram provided fast, and reliable absorption after a single dose and the data was included in a virtual poster presentation last week during the Transcatheter Cardiovascular Therapeutics Meeting or TCT of the Cardiovascular Research Foundation in Orlando Florida.  This was the first study to investigate the PK and PD parameters of the 81 milligram dose of VAZALORE and as expected, the results were consistent with previous findings from published pharmacologic studies with VAZALORE 325 milligrams. We are excited that these findings provide additional clinical information about our FDA approved VAZALORE liquid filled aspirin capsules beyond the first studies that supported the approval of VAZALORE 81 milligram and VAZALORE 325 milligram.  Additionally, at TCT, a live broadcast interview with world-renowned interventional cardiologist, Dr. Gibson and Dr. Angiolillo was held to further discuss the VAZALORE scientific data presented at the conference to the cardiology community. The interview is currently posted on clinicaltrialresults.org.  I’d like to take a moment to address the recent confusion in the media regarding the U.S. Preventative Services Taskforce or US PSTS recommended guidelines on the use of aspirin in primary prevention of cardiovascular disease.  The draft recommendations issued by the U.S. PSTS pertains to the use of aspirin for a first cardiovascular event and do not pertain to those who have already had a cardiovascular event such as a heart attack or a clot-related stroke and are taking aspirin based on their doctor’s recommendation.  As a reminder, VAZALORE’s targeted population is those patients with a history of cardiovascular disease and who are already on a physician prescribed aspirin therapy to help prevent another heart attack or clot-related stroke. As cardiologists continue to recommend for their secondary prevention patients, VAZALORE is a new option with its unique delivery system designed to help protect the stomach.  Several years ago, the American College of Cardiology and the American Heart Association updated their recommendations to limit the use of aspirin in patients without establish cardiovascular disease. Their recommendations which are closely followed by cardiologists state that aspirin is an established and foundational practice for the secondary prevention of a heart attack or clot-related stroke.  Millions of people take aspirin daily as part of their physician prescribed aspirin therapy plan following a heart attack or clot-related stroke. In addition, many patients with a history of gastrointestinal issues reported discontinuing aspirin therapy against medical advice because of stomach issues. VAZALORE delivered aspirin differently from plain and enteric coated aspirin products.  The special complex inside the capsule allows the targeted release of aspirin limiting its direct contact with the stomach. VAZALORE delivers fast, reliable, absorption for pain relief plus the life-saving benefits of aspirin.  In an attempt to clarify the confusion, cardiovascular though leaders got together and held a virtual Townhome Meeting on October 29 titled, Should You Stop or Start Aspirin? Ask Your Doctor as a public health service for patients to help clarify the continued critical role of aspirin in secondary prevention of cardiovascular disease. They also stretched the importance of asking a physician on whether to stop or start aspirin therapy. This townhome meeting is also posted on clinicaltrialsresults.org.  Last quarter, we announced our plans to develop the PLxGuard drug delivery platform technology and now we are laser-focused on the next phase of the VAZALORE launch. We strongly believe in the value of PLxGuard drug delivery platform, which may be applicable to many other active pharmaceutical ingredients.   As we progress in the launch of VAZALORE and assess product candidates for our PLxGuard platform, you will see we are now describing PLx as a drug delivery platform technology company. That represents our evolution and our ongoing growth plans. So stay tuned for more information on that next year.  As you know, the PLx management team has launched several well-known products such as Mucinex, LIPITOR, Neurontin, Zantac, Claritin and Zyrtec just to name a few. This management team knows how to build megabrands and is on a mission for making VAZALORE a household name and providing the much needed benefits of aspirin to millions of patients.  With that, I will open the call for questions. Operator, please go ahead with the instructions. 
Operator:  First question is from Leland Gershell with Oppenheimer. Your question please. 
Leland Gershell : Good morning. Thank you for taking my questions and congratulations on the great progress out of the gates with the VAZALORE launch. I want to see, if we could kind of help us think about just Q4, given the initial stocking, obviously robust sales in Q3 and now it is that inventories were down and reorders may not occur in thrust until perhaps after the New Year.  We also of course, have the SPSTF recommendations come through at the beginning of the fourth quarter, as well, which may have had potentially some impact on sales of aspirin in general. If you could maybe help us think about without giving guidance of course, how we should think about the numbers in Q4 versus Q3. Thank you. 
Rita O’Connor: Hey, Leland, it’s Rita. So, as you know, with our typical experience with initial stock-ins, so, as you said, it’s quite extensive distribution, not only were on shelves with all three phasing drugs, all there SKUs on shelves, we also had tens of thousands of displays out there in other places in the store. So, as we’ve experienced in the past, whenever you want, especially an OTC brand, getting it on shelf is the most important.  So, as we are seeing this roll out, so that was Phase 1 and now we are entering in Phase 2 in terms of significant promotional activities in the fourth quarter. So, we are going to have a lot of those activities through the holiday rush and then, we anticipate much larger reorders in the first quarter than in the fourth quarter.  As you can imagine, the retailers are all stocked and ready to go for the holiday season. So, once it turns to the New Year, they are really going to start thinking about their health and in particular heart health is centered in February. So, I would really look to more the next phase of reorders in the first quarter than the fourth quarter. Hope, does that help? 
Leland Gershell : Yes. Are you able to split your comment than any level of reordering that’s happened to-date? 
Rita O’Connor: Really that’s too early to tell. We have showing a strong consumption data and I think I mentioned that in the last couple of years we’ve been growing double-digits, which is fantastic. So, right now, getting into the end of the year, they are going to watch their inventory levels and really start to plan their reorders. 
Leland Gershell : Okay. That’s helpful. And then, just my last question on the margin – gross margins. You had 41%. How should we think about that potentially improving through 2022 just with scale and also as you look to further optimize the manufacturing process. Is this a meaningful improvement there? Thank you. 
Rita O’Connor: Yes, we are hoping that it’s meaningful improvement. The 325 is much lower margin for obvious reasons. It’s four times the fill and it’s - we have much smaller batch sizes. However, we are working with our partner Thermo Fisher Scientific in Cincinnati to expand capacity and first up will be 325. We are investing in quite a bit of equipment in their plants, so that we can improve the capacity and the throughput on 325. So, I would look to that maybe one year post-launch, Leland.  So, to improve that, we also had some – as you could imagine some initial veins it’s not running as efficiently as it would be, but now I think we are back up on the line and working towards improving those margins. 
Leland Gershell : Terrific. Thanks very much and again, glad to hear on all the progress. 
Rita O’Connor: Thank you, Leland.
Natasha Giordano: Thank you, Leland.
Operator: Our next question comes from Elliot Wilbur with Raymond James. Your question please. 
Elliot Wilbur : Thanks. Good morning. I don’t know, I break when I caught in the rules of being an analyst and that’s never to congratulate management teams on doing what they are supposed to be doing in terms of the order, but I think congratulations on order in terms of initial revenue recognition. I know there is a lot of heavy blood sweat maybe even a few tears that, but we shared before – we got to this point. So, congratulations.  First question is actually for Rita. So Just, I want to follow-up on the early questions on gross margin and just think about the trends as you move to ultimately where we expect you will be sort of at peak. Just trying to ascertain how important it is in terms of improving the margin profile on the 325 versus all the other things that are impacting margin right now in terms of the couponing and the initial promotions and gross to net and just overall volumes.  I mean, I would guess that, optimizing the 325 formulation is probably relatively small in the grand scheme of things, but maybe I am not correct in that fact.  And then. Follow-up for you Rita, you mentioned a couple of times some of the metrics that you are tracking is showing double-digit growth. Just curious are those third-party metrics that are available to us from the outside or is that more just direct feedback coming from the retailers? 
Rita O’Connor: Well, I take the last question first. Yes, that’s actually direct feedback from our retailers. So, we get some performance from some of the top retailers. So, that’s we are used to be able to plan inventories with them. So that metric is there and unfortunately, we are not able to buy that same data. So, you have to wait for me to share it with you.  And getting back to the gross margins. So, yes, so, obviously, there is two parts to gross margin. One is the cost of sales which will improve, hopefully significantly one year post launch for all the reasons I mentioned. The other one is one that you mentioned, as well is the gross to net. So, as you can imagine with any launch, we have a significant increase in couponing.  We actually record estimated coupon redemptions when they are dropped. So we have coupons going out to the healthcare professionals. We have them on our website. We actually have them on our displays and really to drive trial for VAZALORE. So it’s an important item to have. So that they can try our product.  So, yes, so, in the initial run, there is more gross to net than you would imagine. So, that is also impacting gross margin and we hope to improve both of those lines as we proceed and really increase our revenue, as well as these promotional activities take hold. 
Elliot Wilbur : Okay. Thanks. And a question for both of you and then we have not forget this out yet, myself. So, hopefully, you guys have an answer for this. But as your CSO is out engaging KOLs and targeted physicians and obviously, they are seeing patients.  I presume that a lot of initial VAZALORE activity could in fact show up on a prescription pad at some point, there is obviously a lot of prescriptions for aspirin even though it’s an Over-The-Counter product. And I am just trying to think about sort of using some of that data as volatile as it may be kind of in the short-term in terms of thinking about sort of initial uptake.  I mean, it seems like what the patient presents to a physician and ultimately comes away with a prescription or prescriptions, that VAZALORE may be on the pad and maybe filled in the back of the pharmacy versus going out with the front door. I am not sure if I heard that correct. But just curious to get your thoughts on that idea. 
Natasha Giordano: Yes. I’ll take that Elliot. One of the things that we talked about a few moments ago is the fact that VAZALORE is now on every electronic medical record platforms. So, it’s on all the databases. That makes it easier for a healthcare professional whether it’s a physician or a nurse practitioner or a PA to find VAZALORE in that dropdown list.  So that, when it goes and gets escribed to the pharmacy. The pharmacy will see it. But the patient also will have it in hand and that’s designed to make it easier for the consumer to get to the shelf. The lion share of our business is going to be from in front of the store. And yes there potentially will be some Rxs adjudicated, but I wouldn’t count on that as directional for how we are doing in the launch.  Our consumption data is true data that our product coming off the shelf are being purchased by consumers. And that’s where we are seeing the growth week-on-week. So, what’s important here is that, after two-and-a-half months of being in the market, we are really confident as we’ve built these brands before on exactly where we are.  We are where we should be. We are continuing all the activities that both Rita and I mentioned a few months ago that will accelerate that near-term growth and that near-term sales. 
Elliot Wilbur : Okay. Thanks. And then, last question for you, Natasha, just going back to your earlier comments on the USPSTF guidelines and just some of the noise that has been created in the wake of that. Obviously, lot of noise in the financial markets, but there does seem to be some impact in terms of trends. I mean, it looks like utilization has actually kind of dipped about 5% in the wake of the guidelines.  Actually, it seems like, maybe more of an opportunity for you than otherwise. But just sort of curious what you’ve heard in terms of potentially patients coming off of therapy or doctors maybe stepping back therapy a little bit.  It doesn’t seem likely I thought the guidelines frankly were pretty clear years ago but there does seem to be sort of a real world impact. And just wondering if you see this is kind of a window or an opening to really sort of get out there at a point of time when there is a lot of noise and confusion in the marketplace. Thanks. 
Natasha Giordano: Yes. Thanks Elliot. It absolutely is an opportunity to once again confirm our commercial strategy. I mean, aspirin is foundational. It’s on every guidelines. There is no debate in the cardiology community about how important aspirin is in secondary prevention and a patient that’s had a heart attack and an invasive procedure of vascular disease or a stroke.  And so, there it is an opportunity. As we talk to as a company from multiple touchpoints with the cardiology community and the thought leaders, they are actually upset because patients that require aspirin for their rest of their lives are confused and potentially taking themselves off of aspirin. Those patients are put at much more significant risk of having a heart attack.  Over 30% risk when you stop an aspirin product. And that’s why the cardiology community is coming together in different programs like the townhome that was held by Dr. Gibson and Dr. Angiolillo and a few others.  There is a lot of data out there supporting aspirin and its use as an important therapy for these patients. So, yes, it’s an opportunity and I think for our shareholders and the investor community, it confirms our strategy and it confirms the opportunity that we have to grow.  We have over 40 million people in this country that could use a new form of aspirin and that’s where our focus lies and that’s where all of our tactics are focused both in the HCP space, the consumer space and in our partnerships with retailers. 
Operator: Alright. Our next question comes – I am sorry.  Our next question is from Jason Butler with JMP Securities. Your question please. 
Jason Butler : Hi. Thanks taking the question. Let me add my congrats on the great start to the launch. Just starting up, I guess, in terms of the physician feedback you are hearing, can you talk a little bit more about the real world evidence that physicians are direction patients to try VAZALORE.  How that process is working in terms of the patient actually finding their way to the product? And then, on the consumer feedback, are you hearing anything on cost or price that reaffirms that you got the pricing of the products right out of the gates? Thanks. 
Natasha Giordano: Yes. I’ll take the consumer first. We are seeing reviews online that really are glowing. And important for us, we, as a company, because we’ve launched so many big brands understand how important it is to listen to the market and to listen to our research. And what we are hearing is, yes, the price is premium over the other aspirins in the category.  But really what’s important is that it’s a new form of aspirin. There has been no innovation in this category in decades. The market is very needy for a new form of aspirin. And not only in terms of the GI benefit, but also because of the enteric coated aspirin product which is helping dominating the market for years now.  It has a radic absorption by the FDA’s own words and if you think about this particular patient, the secondary prevention patient, that patient needs with an addition on a consistent and predictable and reliable way and that’s what VAZALORE delivers as we describe our published clinical studies and the studies that we continue to invest in.  So, the consumer feedback is really very interesting to us. What we’ve learned is that when the consumer and the healthcare professional understand the benefit behind VAZALORE, then the price becomes understandable and respected.  As far as the HCP is concerned, frankly, the cardiologists have always just assumed that aspirin is doing its job. They know it’s important. It’s on board for these group of patients. And so, when we talk to them about a new form of aspirin they are very interested in how it works. How does the technology work.  And so, a lot of our education, a lot of our communication, not only medical communication, but also the consumer communication is all about the mechanism of delivery, which by the way is the reason why as an Over-The-Counter product VAZALORE has 58 global patterns and composition of matter methods to make and methods to treat.  So, we are exactly where we want to be in terms of 2.5 months into this launch. We know all the markers of building a successful brand in all those markets that’s signaling well. We continue to listen to the feedback coming from both the doctors, the HCPs, the pharmacist and the consumer and we are incorporating that into our activities.  As a small company, we are able to do that. We are flexible. We are agile. We have the means and the resources and we are applying our learnings as we speak into the tactics over these next few weeks. 
Jason Butler : That’s helpful. Thanks, Natasha. Thanks for taking the questions. 
Natasha Giordano: Thank you.
Rita O’Connor: Thank you, Jason.
Operator: Thank you. And I will turn the call back to Natasha for her final remarks. 
Natasha Giordano: Thank you, Carmen. Thank you for your time this morning. In closing, this PLx management team, we know how to launch products and we are executing our launch strategy and plan with our proven blueprint for building a successful brand. Looking forward to our next update. Have a great day. 
Operator: Thank you. And with that, we end our program for today. We thank you for participating. And you may now disconnect. 